Operator: Good morning. My name is Janet. I’d like to welcome everyone to the JetBlue Airways Third Quarter 2014 Earnings conference call. As a reminder, today’s call is being recorded. At this time, all participants are in a listen-only mode. I would now like to turn the call over to JetBlue’s Director of Investor Relations, Kevin Crissey. Please go ahead.
Kevin Crissey: Thanks Janet. Good morning everyone and thanks for joining us for our third quarter 2014 earnings call. Joining us here in New York to discuss our results are Dave Barger, our CEO; Robin Hayes, our President, and Mark Powers, our CFO. This morning’s call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors, and therefore investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to our press release, 10-K, and other reports filed with the SEC. Also during the course of our call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release, a copy of which is available on our website. Now, I’d like to turn the call over to Dave Barger, JetBlue’s CEO. 
David Barger: Thank you, Kevin. Good morning everyone. Thanks for joining us today. This morning, we reported record third quarter net income of $79 million or $0.24 per diluted share. Operating margin was 10.7%. We generated record revenues, driven by a solid demand environment and continued improvements in our product and network. I’d like to thank our 15,500 crew members for their continued focus on running a safe airline and delivering outstanding customer service. I’d like to begin by congratulating Robin, who will assume the role of Chief Executive Officer in February 2015. In my view, there isn’t a better person to lead JetBlue in the next chapter of its evolution than Robin. Over the last 15 years, humanity has remained central to JetBlue’s mission. We target customer segments that are not well served by traditional airline models through our sustainable competitive advantages, a differentiated product and culture, competitive cost structure, and high-value geography. At the same time, we must remain nimble, evolving as our customers and the competitive landscape change. I have absolute confidence in Robin’s leadership and want to thank him as he and crew members across JetBlue continue to build a bright future for our company. Third quarter total revenues increased 5.9% year-over-year. We achieved year-over-year improvements in yield and load factor while growing capacity at 4.5%. Also contributing to revenue growth was record third quarter ancillary revenue per customer of $22. Total operating expenses increased 5.7% year-over-year. As expected, the salaries, wages and benefits line was the largest driver of this year-over-year increase. We remain focused on maintaining a competitive cost structure which we believe is critical to our success as we continue to build a profitable, defensible network. Third quarter trailing 12-month profit margins expanded year-over-year in all six of our focus cities, reflecting the underlying strength and diversity of our network. We remain focused on successful execution of our profitable growth plan as we roll out new routes and frequencies in our Fort Lauderdale/Hollywood focus city. Our plan is supported by a significant investment from the Broward County Aviation Department, including a new 8,000 foot runway which opened in September. Mint continues to perform very well, and we plan to operate seven daily frequencies from New York’s JFK airport to Los Angeles by the end of this year. We will also commence service from JFK to San Francisco on October 26. We are seeing strong demand for Mint, including notably from JetBlue customers who previously did not fly JetBlue on transcon routes. In addition, we are pleasantly surprised by the amount of interest we are receiving from corporate travel departments. In response to strong demand, we recently restructured our fares and put in place a new refundable fare of $1,209. In closing, we are pleased with our third quarter results but remain focused on executing our plan to improve returns while scaling our business. We look forward to updating you on our future plans at our investor day on November 19. With that, I’d like to turn the call over to Mark for a more detailed review of our financial results.
Mark Powers: Thank you, Dave. Good morning everyone. Thank you again for joining us today. I’d be remiss if I didn’t call out a couple of people who are instrumental in the investor relations group here. First of all, seven years of terrific service and devotion – Lisa Reifer has taken a job working as the Director of Corporate and Commercial Development, working for Robin Hayes, but I want to commend her on just a phenomenal job for seven years. Succeeding her, of course, is somebody from formerly the other side of this phone call, probably well known by most of you – Kevin Crissey, and it is just absolutely great, Kevin, to see you here on this side now. Welcome to the JetBlue crew – tremendous impact already. Thank you. To my formal remarks. We are pleased to report record third quarter operating income of $164 million. That’s an increase of 8% compared to the third quarter of 2013. These strong results are a credit to our crew members, who do a great job taking care of our customers every day. Third quarter year-over-year passenger unit revenues, or PRASM, increased by 2.4% on capacity increase of 4.5%. A solid demand and yield environment contributed to our record quarterly average fare of $165. That’s a year-over-year increase of 0.5%. Similar to last quarter, unit revenue growth was significantly stronger in our domestic network than in the Caribbean and Latin America. Florida and central were the best performing regions, leading the system in year-over-year PRASM growth. Yields in both the Caribbean and Latin America have been pressured by added capacity from both JetBlue and our competitors. Nonetheless, this region was profitable in the quarter. Given the focus on capacity in this region, let me take a moment to review competitive actions and how we think they are impacting JetBlue. In the third quarter, as measured by available seat miles, JetBlue capacity in the Caribbean and Latin America grew by approximately 17% year-over-year while competitive capacity in those markets grew by about 7%. Although increased capacity was negatively impacted—I’m sorry, although increased capacity has negatively impacted unit revenue performance in the near term, we believe the Caribbean and Latin America will continue to be an important profit center for JetBlue. We expect competitive capacity pressures in various parts of our network from time to time. We remain committed to growing our presence and building our momentum across the Caribbean and Latin America. As demonstrated by our success in growing capacity while improving margins in Boston, San Juan and Fort Lauderdale, we believe targeted growth is critical for our plan to improve financial returns over the long term. With respect to ancillary revenue, total ancillary revenue in the third quarter increased by approximately 12% year-over-year to approximately $190 million. Our Even More offering continues to be a significant driver of ancillary growth. Dynamically priced Even More seats drove higher yields and seat factor, resulting in higher Even More revenue per seat. We believe Even More is on track to generate approximately $190 million of revenue this year. That’s up $20 million year-over-year. Total 2014 ancillary revenues are expected to increase by about 10 to 15% year-over-year. With respect to the other revenue line, other revenue was negatively affected by the LiveTV divestiture completed in June 2014. Recall, revenues related to LiveTV are no longer flowing through other revenue. Turning to costs, we’re obviously happy with the recent decline in fuel prices and expect to benefit from it. That said, fuel remains our largest expense and its price is clearly volatile. As such, we continue to maintain a fuel hedge portfolio as a form of insurance against volatility. We currently have approximately 34% of our remaining full-year 2014 fuel consumption covered using a combination of hedges and FFPs. Our expected fuel price in the fourth quarter is $2.80 a gallon – that’s including FFPs and hedging. For more specific details regarding our hedges and FFPs, please refer to our investor update which is filed with the SEC and made available on the Investor Relations section of the JetBlue website prior to the start of today’s call. Excluding fuel and profit sharing, year-over-year third quarter unit costs increased by 2.6%, in line with previous quarterly guidance. We ended the quarter with approximately $742 million in cash and short term investments. We expect to end the year with cash as a percentage of trailing 12-months revenue of approximately 10 to 12%. JetBlue ended the quarter with 199 aircraft, including 130 A320s, 60 E190s, and nine A321s. For the full year 2014, we are forecasting aircraft capital expenditures of approximately $635 million and non-aircraft capex of $340 million. Turning to capacity, we plan to grow fourth quarter ASMs between 5 and 7% year-over-year. For the full year, capacity is expected to increase between 4 and 6%. These increases are primarily driven by our growth in Latin America and the Caribbean. Turning to the revenue outlook, we continue to see domestic strength. Peak travel periods in the fourth quarter are booking well. We currently expect October PRASM to be up between 1 and 2% year-over-year. Moving through the quarter, please note that because the Sunday following Thanksgiving, our highest revenue day of the year, falls in November this year, we expect November year-over-year comps to be positively impacted by the calendar shift. Moving to CASM, excluding fuel and profit sharing, CASM in the fourth quarter is expected to increase between 1 and 3%. We expect salaries, wages and benefits to comprise approximately 80% of year-over-year ex-fuel CASM growth, primarily due to pilot-related compensation. We expect maintenance expense and other operating expenses to comprise the rest of the year-over-year increases. Excluding fuel and profit sharing, CASM in 2014 is expected to increase between 2.5 and 4.5 year-over-year. This is unchanged relative to prior guidance. Finally, I’d like to address our return on invested capital metric. Although we continue to expect year-over-year ROIC improvement, we no longer expect to meet our 7% objective in 2014. As the year progressed, unit revenue in the Caribbean and Latin America disappointed, and this will likely leave us shy of our target. That said, we are even more energized to improve returns and are working hard on many ROIC accretive projects. We look forward to providing you a more in-depth look at our plans to continue to grow our returns on investor day, which is scheduled for November 19 in New York. I would as a consequence ask that we hold questions regarding ROIC initiatives, including fare family, seat density and such until we reconvene in November. With that, Dave, Robin and I are happy to take your questions. Thank you, Operator.
Kevin Crissey: Thanks everyone. Janet, we’re now ready for Q&A with the analysts. Please go ahead with the instructions.
Operator: [Operator instructions] Your first question comes from the line of Michael Linenberg with Deutsche Bank.
Michael Linenberg – Deutsche Bank: Mark, I want to go back to you talked about the Even More product being up $20 million this year and, I think, contributing $190 million in total to revenue. Are those the numbers that you mentioned?
Mark Powers: Right.
Michael Linenberg – Deutsche Bank: Okay, so the question that I have is when you think about just the overall pricing environment and the pick-up in ancillaries and how it’s been growing at a bit of a faster clip than the rest of the industry, and then I think you’re adding some bells and whistles to the product or the program – you know, you’re doing some stuff on the Dynamic front, why is it not up more than that? It would seem like just the $20 million increase on that type of revenue base, it seems like it’s actually quite low. I think about the markets that you serve – they are strong markets and people of an upper socioeconomic demographic, they like the product. Why isn’t it doing better than that?
Mark Powers: I’m going to ask Robin to address that.
Robin Hayes: Yeah, hi Michael. I appreciate the question. It is performing very well. A lot of the initiatives that you’re referring to, which have definitely helped, those were actually only fully rolled out in the middle of the year and so we don’t have sort of a full-year effect of that yet.
Michael Linenberg – Deutsche Bank: Okay, that makes sense. Just a question to Dave on—I know that on the labor piece, unit costs, 80% of it is tied to labor in the fourth quarter. Where do things stand with the pilot negotiation? I know it’s—I guess it’s fairly early, but have you sat down with them and started the process? Where are we on that? Thanks.
David Barger: Yeah, Michael, thank you. It is – it’s early in the process as well, and I don’t really anticipate things to be moving overly fast when you look at historic precedents as well. Robin, I know you’ve had interactions as well obviously with flight operations, and obviously flight operations with the Airline Pilots Association, but other color you’d like to add?
Robin Hayes: Sure, Michael. It was only recently in the last couple of weeks that the MECs were appointed, elected and appointed, and the negotiating committee which the MECs then selects, put in place, has just literally been put in place. So these things just—you know there’s a process and they just tend to take a certain amount of time, but I think—yeah, those basic fundamentals are in place now and the next stage of the process will continue.
Michael Linenberg – Deutsche Bank: Okay, great. Thanks guys.
Operator: Your next question comes from Jamie Baker with JP Morgan.
Jamie Baker – JP Morgan: Hoping for some greater financial detail on Mint, any actual data that you might be able to share with us both on the product and I guess on the transcon market in general. American’s now gone all A321 for an entire quarter. You’ve had an entire quarter of Mint operations, at least in L.A. Just hoping you could bring us up to speed with some actual hard data, maybe booked load factor, that sort of thing.
Robin Hayes: Sure, Jamie. Good morning, it’s Robin – I’ll take that. So we had our press event in San Francisco last night for the launch of the JFK-San Francisco route. That first flight will take place this coming weekend on the 26th of October, and by the end of the year we’ll both have San Francisco and L.A. close to a full pattern, but not quite a full pattern. In terms of how we’re doing, obviously I’m not going to share commercially-sensitive information, but what I will say is when we look at our profitability in September, which tends to be one of our more challenging transcon months, not only was JFK-LAX profitable, which it wasn’t profitable last September, it is by far and away our most improved year-on-year margin transcon route, and I think that speaks to the strength of Mint.
Jamie Baker – JP Morgan: Okay, so it does. As a follow-up to the issue of Latin America, how exactly do you find LatAm? I mean, in the broader A4A scope of things, there is currently a supply and a demand problem in Latin America, though that does seem to be a bit more biased to the southerly markets. When you talk about opportunity, and I know you don’t want to front run route announcements, but is yours more of a northerly ambition, because on the surface it just kind of suggests that your timing for expansion couldn’t be worse. I mean, there’s just nothing that screams growth market right now in Latin America. Any thoughts on that?
Robin Hayes: Thanks Jamie, I’ll take that. I mean, the brunt of our Latin—by the way, just to answer your first question, how we define it, we kind of have to keep an eye on two different definitions because the way we look at LatAm is we will often include the PR and the USVI, but the A4A breakdown is different to that, so we kind of track both. In terms of most expansion that we have to that part of the world, it’s really part of our (indiscernible) strategy, so as we brought markets like Lima and such this year, we’re very excited. I think our model has always been a little bit different where—you know, we’re seeing actually very good growth in the market. The challenges we’ve had out of that part of the world have not been in load factor; it’s just been in fare because there’s been a lot of capacity and that’s put close-in pressure on average fares. So we don’t have an issue stimulating demand in the market – I mean, that’s always been what JetBlue has been very good at and successful at doing. It’s more waiting for some of the capacity to abate so that the unit fare volume can strengthen.
Jamie Baker – JP Morgan: Excellent. Okay, thank you very much, everybody, appreciate it. Take care.
David Barger: Thanks Jamie, you too.
Operator: Your next question comes from the line of John Godyn with Morgan Stanley.
John Godyn – Morgan Stanley: Hey, thank you for taking my question – and Robin, congratulations. I’m just curious, and I know we have an investor day coming up, but I’m just curious at a high level, Robin, if you could just sort of speak to perhaps the degree of change that you’re comfortable with in the organization as you look out the next few years, and sort of transformational initiatives versus incremental ones.
Robin Hayes: I mean, I will keep this very high level, and again thanks for the question, John. Our strategy of serving the underserved and sitting in that sweet spot of offering our customers a differentiated product and having a culture that is very unique and nurturing that culture, none of that is changing. I mean, that’s who JetBlue has always been and that’s who we always will be. We’re very excited about some of the things we have coming up which I think will add to both our customer experience, our crew member experience, but also our ROIC. They are plans that we’ve been working on as a team under Dave’s leadership for the last couple of years now, and we look forward to sharing more on investor day about that.
John Godyn – Morgan Stanley: Got it, and if I could ask about one specific initiative that I’ve asked about in the past, really just seat density – I mean, when I think about what the suppliers are offering in terms of slim line seats, when I think about what other airlines are doing with their A320s, there does seem to be an opportunity to increase seat density considerably. I don’t know if there are caps on that for you specifically because some of your transcon flying means you can’t quite flex up to the size of Spirit, but if you could talk about maybe (a) the appetite and (b) the practicality of rising seat density, that would be very helpful.
Robin Hayes: So Mark did make a request in his comments to defer those questions to investor day, and we’ll be delighted to see you on the 19th to talk about that.
John Godyn – Morgan Stanley: Got it – okay. No problem. Thanks.
Operator: Your next question comes from David Fintzen with Barclays.
David Fintzen – Barclays: Morning everyone. Just following up a little bit on the international and the Caribbean capacity, you mentioned sort of waiting for capacity to abate. To the extent that doesn’t happen, how should we think about the domestic network? You haven’t really been growing much there lately. I mean, are there opportunities there you can kind of fall back on, to the extent that you need to?
Robin Hayes: Sure, I mean, let me just make—and again, David, thank you for the question. I think we’ve reiterated before, and I’ll use this opportunity to do it again, the importance of a diverse network plan – you know, six focus cities, different geographies, because you’re always going to be in a cycle where one area performs and one doesn’t. At the end of the day, all the airlines share the same fare data and so when an area starts to perform well, you do tend to see capacity then go in; when it starts to perform less well, capacity will move. We’ve seen that for decades and that’s always going to continue, so—you know, at this time last year, we were fielding a lot of questions on transcon performance because that was an area where there were a lot of challenges, a lot of capacity had gone in the front end of last year. So I’d just caution – we’re not an airline that kind of tends to overreact to either the good opportunity—you know, when we see things that are really good, we don’t necessarily always tactically chase it, and likewise when things aren’t performing, you sometimes have to be patient and use other parts of the network to fund that. So the domestic network continues to perform extremely well, it’s strong. I think you’re seeing that in terms of airlines who have more exposure to domestic. There’s no signs of that changing. In terms of Latin America-Caribbean, we start to—our own capacity growth starts to slow as we get into 2015 as well, so we had double-digit ASN increases into LatAm this year, and as we get into the first quarter of next year that abates quite significantly. What other airlines do, I obviously don’t know and I can’t speak to, but based on historical trends, these things tend to correct themselves over time.
David Fintzen – Barclays: Okay, great. Appreciate that color, thanks.
Operator: Your next question comes from Duane Pfennigwerth with Evercore.
Duane Pfennigwerth – Evercore: Hey, good morning. Just a quick question for you on fuel efficiency, which was down year-to-year despite the fact that you’re adding A321s. Can you talk a little bit about what’s going on there, because it’s sort of off trend from what we’re seeing from other airlines.
Mark Powers: I would only note that that the A321 count is only nine of a nearly 200 fleet base, so we won’t really start to see it I think in terms of—move the dial in terms of on a seat cost basis until probably the end of next year or so. So I think in terms of fuel efficiency, again I would remind you that a fair amount of our flying is in the Caribbean, which of course has a bit higher fuel cost down there as well. We can talk offline if you want to get into more of the details, but having a younger fleet, as you know, really does contribute to—relative to our competitors, in particular a pretty high fuel efficient operation.
Duane Pfennigwerth – Evercore: Yeah, I guess the question is not about fuel cost per gallon but about gallons per ASM, which seems to be down year-to-year. So we can maybe follow up offline, but the question would be what’s changed about your network or why would that be negative?
Robin Hayes: Are you looking at the quarterly number? It’s Robin.
Duane Pfennigwerth – Evercore: Yes, yes.
Robin Hayes: I need to kind of go and fact-check this, but our completion factor is a little bit up this quarter over last quarter, so to a degree that might have something to do with that – I’m not sure.
Duane Pfennigwerth – Evercore: Okay. Can you maybe just go into a little bit more detail about what the underlying trend is in other revenue, ex-the loss of LiveTV revenue? How much of a headwind was that this quarter, and I don’t know if you can remind us of how much LiveTV revenue you had in the fourth quarter of last year. Thanks for taking the questions.
Mark Powers: Good question. Actually I don’t have the numbers, but we do have the numbers filed. I think in last quarter’s investor update, we actually included the details, including this item, in our investor update on the LiveTV transaction, so I think that number is pretty specifically described there. Again, I apologize for not having it off the top of my head, but I do know that that’s where it is.
Duane Pfennigwerth – Evercore: Okay, thank you.
Operator: Your next question comes from the line of Daniel McKenzie with Buckingham.
Daniel McKenzie – Buckingham Research : It sounds like from a response to an earlier question, you’re liking the results that you’re seeing from the addition of first class on the transcon routes. I guess the question is how aggressively would you consider expanding that? I know in the past you’ve talked about Boston, but there is opportunity beyond Boston, say international or elsewhere across your system; and then I guess just tied to that, would you consider accelerating some of these fleet deliveries or swapping out existing A320s in exchange for other A321s if you could get your hands on them?
Robin Hayes: Yeah Dan, it’s Robin – I’ll take that. For now, we’re just very focused on executing both JFK-LAX and JFK-San Francisco really well. We truly believe that this is going to be transformational for our profitability in those two markets, and early indications are that’s what we’re seeing, although one or two months is very early on in the cycle. Beyond that, I don’t really want to use the call to signal what we might be thinking about, but we truly believe we have a terrific product that could play a broader part in the JetBlue network in the future. But right now, we’re focused on those two markets.
Daniel McKenzie – Buckingham Research: Okay, thanks Robin. That will do it for me.
Operator: Your next question comes from Helane Becker with Cowen.
Helane Becker – Cowen & Company: Thanks very much, Operator. Hi guys. Thank you very much for the time. I just have one question – I think Dave mentioned in his prepared remarks that a non-refundable—or a fully refundable fare, right, of $1,209 that you’ve put in place. I just wanted to flesh that out for a second. Is that just on the Mint product? Can you just tell me what that’s related to, and have you moved that $599 fare up at this point?
Robin Hayes: Sure, Helane, I’ll take that – it’s Robin, and good morning. When we launched Mint, we launched with three fare products: a $599, $799, and $999. The $599 and the $799 were non-refundable, and the $999 was a refundable offering. Due to the strength of demand of the product, we turned the $999 into sort of another non-refundable model walk-up, non-refundable fare, and then moved the refundable fare up to $1199, and then the reason now you’re seeing numbers slightly higher than that is because there’s been an additional price increase that we’ve added, taking us up to $1,209. We still have the $599 available – that’s our sort of lead-in promotional fare, but obviously the price increase has come in two ways, both the headline price and the mix of inventory.
Helane Becker – Cowen & Company: Okay, great. I just have one follow-up question. Can you say what percent of your total ASMs are domestic versus what you would consider to be international?
Robin Hayes: Yes, I can. Let me make sure I give you the right number here. I think it’s 32 LatAm – yeah. So if we take the third quarter, we had 32% LatAm. Recall our LatAm includes Puerto Rico, the USVI, and so 68% are domestic.
Helane Becker – Cowen & Company: Great, thank you. We’ll see you in a few weeks. Thank you.
Robin Hayes: Thank you.
Operator: Your next question comes from Hunter Keay with Wolfe Research.
Hunter Keay – Wolfe Research: Hey, good morning everybody. Hey Robin, I’d like to follow up on John Godyn’s question a little bit about change. I know that you talked—I saw an article where you were quoted about stressing the word continuity when you took over, and congratulations by the way. I totally understand why you would say something like that – it makes sense, but can you talk to me as much as you feel comfortable about how you’re planning on changing the culture at JetBlue, and how you might think about incentivizing people all across the organization to potentially behave differently in a way that would really, truly incentivize them to do things differently and think about everything from a day-to-day basis how they can contribute to grow return on invested capital?
Robin Hayes: First of all, Hunter, thanks for the question. I’m very proud of our culture, and I think our culture is a real differentiator. When I think what our crew members do day-in and day-out to go above and beyond for our customers, then I don’t think that’s something we should change. I think that’s something we should be proud of and continue to nurture and encourage. I personally believe and hear it from thousands of customers every month that our culture and our people are one of our—if not one of, our most important competitive differentiators. So very, very proud of our culture and not looking to change our culture. From David Nelleman through to David Barger, every two weeks traveling down to orientation to personally meet and present to all our new crew members, those are the sorts of traditions I think this company is built on, and traditions which I’ll be honored to continue. I think when we talk about change, I think some of the frustrations have come in terms of why isn’t JetBlue (indiscernible) return to the same degree that other airlines (indiscernible), but I don’t think that’s because of our culture. I think our culture is an important foundation, and as I’ve said before, some of the things that we believe will be ROIC-accretive, we’re going to share on the 19th of November at the investor day. I don’t really want to get into that in the call here.
Hunter Keay – Wolfe Research: Okay. Help me understand a few moving parts here. The ROIC around the increment obviously did not—it’s still growing, but it’s not growing as much as you guys thought it would this year. Yields are light from excess capacity in the Caribbean, much of which is your own doing, and you said that capacity growth there would decelerate next year. But given the incremental change in ROIC, why did capex come up? What are the consequences from an income statement, balance sheet, cash flow perspective of not hitting the ROIC target this year, because it doesn’t look like much has changed in that regard.
Mark Powers: It’s really two separate questions. Capex was up—I presume you’re talking about non-aircraft capex?
Hunter Keay – Wolfe Research: Yeah, just capex in general.
Mark Powers: Capex in particular this year reflected the delivery of nine A321s, including basically the Mint fleet, but the other part of it is we had some really extraordinary and fairly exciting expenditures including, by the way, you’ll recall the slot purchase, I think the number of which I’m probably not going to disclose. But also, the completion of T5I, which opens up, I think, mid-November before Thanksgiving, and Boston facilities and other projects, these are all sort of nearing completion, so these kinds of expenditures don’t continue into 2015. By the way, I should also note that T5I was financed using our own cash, so you wouldn’t see an impact on the balance sheet as a result of that.
Hunter Keay – Wolfe Research: Okay, thank you.
Operator: Your next question comes from Glenn Engel with Bank of America.
Glenn Engel – Bank of America: Good morning. Two questions – one, it looks like the headcount was up 9%. That’s much more than ASMs in fleet. What’s driving that, and when do we see a reversal?
David Barger: There was some headcount—I’ll share this answer with Robin, but I do believe some of the headcount increase was really frontline crew, largely driven by our attempt to improve reliability, so I think there was some extra pilots hiring. Beyond that, I don’t know what other extraordinary adds—I think we’ve been keeping actually some of the overhead and office space relatively flat.
Robin Hayes: Are you looking at actual headcount, Glenn, or salaries, wages and benefits costs?
Glenn Engel – Bank of America: I’m looking at actual headcount.
Robin Hayes: Okay, well—
Glenn Engel – Bank of America: The second question, then, I’d have – and you can get back to me – is free cash flow. You try to generate free cash flow each year. With the opportunities this year, is this the year where the free cash flow will be negative?
Mark Powers: This will be negative. Let me just get—I think for some of the items that I just listed for Hunter this year, our non-aircraft was exceptionally high related to a couple of key investments, so we will unfortunately—as you know, Glenn, I love free cash flow, so this is particularly painful to me, but that then sort of—against then the headwind of cash from operations being a little lighter because of the Latin-Caribbean revenue picture, will result in a negative free cash flow picture this year.
Glenn Engel – Bank of America: Finally, we have further cost pressure from higher pilot pay next year. What are the good guys we’re going to see in 2015 on cost?
Mark Powers: I think in fact just with respect to the pilot side, we already announced the pilot increase so I’m not expecting other than driven by seniority, as well as just the basic operation of the current contract, a lot of extraordinary increases there. I think we’ll probably feature Jeff Martin during our investor day presentation, who will talk a little bit more about some of the operating costs and what from a long-term perspective those costs are going to look like going forward at investor day. 
Glenn Engel – Bank of America: Thank you.
Operator: Your next question comes from Savi Syth with Raymond James.
Savi Syth – Raymond James: (Audio interference) capacity growth next year. Could you just give an idea of what kind of—where capacity growth is going to be focused next year, and maybe the mix?
Robin Hayes: Yeah, good morning. I think obviously not guiding specifically, although a lot of the schedules are loaded, I think we continue to offer the sort of mid or slightly above mid-single digit capacity growth. What I would remind you (indiscernible) of next year, because of the impact of Hercules in January, there will be quite a bump because that was about, from memory, about a 3—was it about three points for the quarter, or—you know, two to three points for the first quarter, so that’s going to have an impact as we think about year-on-year comparisons, unless of course there’s another Hercules-like storm.
Savi Syth – Raymond James: Hopefully not. So this year, I think a big mix is international. Is next year going to be mostly domestic then?
Robin Hayes: No. If you—you know, our—and again, we’ll get into this a little bit more in November, but continued expansion in markets like Fort Lauderdale and Boston will be kind of central to our 2015 plan, and that would include both domestic and international.
Savi Syth – Raymond James: Understood. And then if I might ask a follow-up on the competitive capacity, Caribbean was pressured. Just general trends in the other regions?
Robin Hayes: Sorry, could you just repeat the question, Savi? Was that domestic?
Savi Syth – Raymond James: Sure, yeah. Just was wondering outside of the Caribbean, what you’re seeing from a competitive capacity front.
Robin Hayes: Sure. So I think we’ve continued to see similar trends throughout the year, so if we looked at quarter 3, Boston was about flat, Fort Lauderdale was slightly negative, transcon was slightly up. So I would say that for domestic, at least the rest of this year, we’ll see for the most part around inflation-type competitive capacity increases, and Latin America and Caribbean are obviously higher than that.
Savi Syth – Raymond James: Understood, thank you very much.
Operator: Your next question comes from Joe DeNardi with Stifel.
Joe DeNardi – Stifel Nicolaus: Good morning, guys. Mark, I’m wondering if—just a couple questions on ROIC. If you could just update us, maybe, on where you see that shaking out for the year and whether you have—whether you’re still kind of thinking about 100 basis points a year going forward.
Mark Powers: I apologize for giving you even sort of more of a tease, but I just would note that we are committed to that metric and remain energized around it. Again as I discussed, we’re going to hopefully go into a little bit more depth during investor day on the specific initiatives, and I think I’d rather defer. I really don’t want to sort of do a quarterly where are you on an ROIC metric, so I’m going to resist that; but I do think that we will talk about that in a long-term context in November, if you don’t mind.
Joe DeNardi – Stifel Nicolaus: Okay. Do you the initiatives that you’re considering, do those include also kind of the capex profile, or is this strictly revenue initiatives?
Mark Powers: All of the above.
Joe DeNardi – Stifel Nicolaus: Okay. I guess given where we are with fuel costs, does that change the way you guys think about your capacity growth?
David Barger: Not really. I mean, it’s a great benefit but our capacity plans are well established and well thought out, and when we look at additional capacity, we express it with a broad range of all sorts of costs, including fuel.
Joe DeNardi – Stifel Nicolaus: Okay, thanks.
Operator: We have one more call, and that call is from Julie Yates with Credit Suisse.
Julie Yates – Credit Suisse: Thanks for taking my questions. On the Q4 PRASM, I know you guys don’t guide quarterly, but is there anything you can provide beyond October guidance of 1 to 2%, just to calibrate expectations for November and December, given the tough comp in December and the shift of Thanksgiving back into November?
Robin Hayes: No, we don’t. We won’t. The point I was going to make, you just made, which is I always use this call as a reminder when the Thanksgiving holiday moves. So one of the peak days does move from December back into November, so November will look much better and December will look correspondingly worse than last year just because of that shift.
Julie Yates – Credit Suisse: Okay. Then just on the schedule data, it’s showing that competitive capacity in Boston is really ramping up in the fourth quarter, and even in the first quarter. How do you protect the market share that you’ve taken there, and especially on the corporate side?
Robin Hayes: Actually if we look at (indiscernible) capacity into quarter forward, we’re showing about 1% in terms of—we look at it in terms of seats. It does go up a little bit in quarter one, but honestly our brand and our product is so strong out there, we have such a strong presence with the corporate travel market, the investment in Boston Terminal C, that we’re not concerned at all.
Julie Yates – Credit Suisse: Okay, great. Thank you very much.
Kevin Crissey: That concludes our third quarter 2014 conference call. We’ll talk to you again in a few weeks at our investor day. Thanks for joining us, and have a great day.